Operator: Good afternoon, ladies and gentlemen. Welcome to the Vacasa Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode and please be advised that this call is being recorded. After the speakers' prepared remarks, there will be a question-and-answer session. [Operator Instructions] And now at this time, I would like to turn the call over to Mr. Ryan Domyancic of Investor Relations. Please go ahead.
Ryan Domyancic: Good afternoon, everyone, and thanks for joining us today for Vacasa's Second Quarter 2023 Earnings Call. I'm pleased to be joined today by CEO, Rob Greyber; and CFO, Bruce Schuman. Before we begin, let me cover a few administrative details. This call contains information that speaks only as of the date of today's live broadcast, and redistribution of this broadcast is prohibited. We have posted a shareholder letter on the IR section of our website at investors.vacasa.com that will be referenced by our speakers. Comments made during this conference call and in our shareholder letter may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, projections, targets, estimates, objectives, events, conditions and financial performance. We caution that various factors could cause actual results to differ from those anticipated. For additional information concerning these risks and uncertainties, please read the forward-looking statements section in the shareholder letter we issued earlier today in the forward-looking statements and Risk Factors section in our filings with the SEC. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial results, including a reconciliation of non-GAAP results to the most directly comparable GAAP financial measures may be found in our shareholder letter. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. And now I'd like to hand the call over to Rob Greyber. Rob?
Rob Greyber: Good afternoon, everyone, and thank you for joining us. I'm pleased to be with you all today to provide an update on the progress we made during the second quarter to review our financial results and to share an outlook for the business. I'd like to start by welcoming Bruce Schuman, our new CFO, to Vacasa. Bruce joined Vacasa in June and in just two short months is already ingrained in the business and has become a valued member of our leadership team. Bruce brings nearly 30 years of experience to Vacasa, including more than 25 years at Intel before serving as CFO of one of the nation's largest technology-driven real estate lenders. Bruce, thank you for all your contributions to date, and I look forward to working with you in the years to come. Now on to our updates for the business. We are in the midst of our summer peak season with a three-month period from June through August, which represents our busiest time of the year. During these months, we will facilitate more than 500,000 reservations and on some weekends, we will manage over 30,000 reservations, more than other industry operators manage in a year, a reminder of the size and scale of Vacasa today and the incredible dedication of our team. A quick word on the attention our industry has received in the national and local press and on social media in recent months with articles discussing market dynamics, such as demand returning to urban and international destinations and uptick in hybrid and in-office work, and most significantly increased vacation rental supply. We spotted and highlighted these trends starting in the fall of last year. With the benefit of our scale and data-driven approach, we were able to adjust our revenue management stance to address these shifts. Based on our data, we believe in the vast majority of our markets. Vacasa listings are generating more revenue than the industry. While 2023 has been a more challenging environment for vacation rentals relative to the record levels reached last year, we are primarily seeing lower gross booking value per night or price, while nights sold per average home during peak season is tracking roughly in line with last year. As a result, our teams are busier than ever, welcoming guests for their summer vacations. We are sharply focused on execution and are seeing some early benefits as we work against the priorities we set and the changes we made starting last year. I am pleased with our progress in operations, and I'm proud of the guest service levels we are delivering during our seasonally busiest summer months. I want to recognize the dedication and hard work of all Vacasa colleagues in the field. When I spoke with you all for the first time back in November, I outlined the tremendous opportunity Vacasa has in front of it. Vacasa addresses a large dynamic market with a hard problem that's best solved with technology and with competitors who have thus far not built the foundation to use technology and data to learn and improve. But as I shared when I first joined Vacasa to reach our potential in this market, we needed to sharpen our focus to perform at our best. Over the past nine months, we've been adjusting the way we work, which is never easy, especially in a changing market environment. Nevertheless, our teams have persisted, and I'm incredibly proud of all our Vacasa employees for helping make demonstrable progress across all facets of our business. Throughout 2023, the team and I have been guided by four critical priorities. Improving execution in local markets and customer support functions, unlocking the potential of the individual sales approach, developing the right technology product and service offerings and ruthlessly prioritizing our business needs to drive profitable growth. There is always more to do, but we made substantial progress against these goals. Week by week, wins are stacking up and the results of our efforts are beginning to materialize. There have been and will be steps forward and back, but we are gaining real momentum across our entire business, and I remain incredibly excited for what's ahead. We spent the last several quarters becoming more tactical in the way we operate in our local markets, particularly with regard to aligning staffing levels in a dynamic reservation environment. In 2021 and 2022, our teams were staffing in anticipation of stronger and stronger demand. Now we are more closely collaborating to watch demand and booking intakes and adjusting resources in local markets accordingly. We have also rolled out improved purpose-built technology tools and integrations for our local teams. The initial progress we saw in the first quarter from these changes carried into the second quarter. As a result, during the second quarter, we saw year-over-year improvements across our key local market operating metrics, despite a more uncertain demand environment. And most importantly, we aren't sacrificing service levels, which we also watch very closely to achieve these efficiencies as guest satisfaction, for example, among other key metrics, is right in line with last year. On the approach to managing local markets, we are removing layers of management and empowering the owner and guest experience teams who take care of customers. We've also set up processes that drive closer alignment across all the functions that support these local operations teams with better analytics and real-time support from revenue management, human resources and finance. We've also brought new technology into key workflows during the first half of the year with the goal of decreasing the cost of managing homes and guest stays, while providing owners and guests with an even better experience. For example, we launched an automated scheduling tool for our field operations teams, providing greater visibility into and making it easier to get through their daily tasks. We released the HomeCare dashboard, which we touched on last quarter that provides homeowners with an unprecedented view into their homes. Now owners can track maintenance issues online and see reports of recent inspections, for example, providing owners with 20 to 50 photos showing the condition of their home. Since launch, we've shared millions of photos with homeowners. We've also incorporated both SMS and web chat into our communications tools, opening up another communications medium for owners and guests. These technology tools bring efficiency to our local market operations and more immediately to communications with homeowners, a win for our homeowners, a win for our guests and a win for Vacasa. On the individual sales approach, the primary way in which we add homes to our platform, we've been testing and implementing changes that are taking hold. Our guiding principle for retooling the individual sales approach has been to streamline and simplify how we work. Some of the changes we have implemented include adjusting the organizational structure, so every sales rep focuses on a single market, allowing them to develop and build the local market expertise that our homeowners crave, simplifying the pricing structures we offer to homeowners, rolling out internally developed technology tools to improve the onboarding experience for new homeowners and reducing the number and complexity of the incentive plans we manage internally. In the second half of the year, our focus will continue to be on solidifying the productivity improvements we've made in recent months. Once we've fully institutionalized these new processes, we'll then consider growing the sales team. Encouragingly, while still elevated relative to prior years, homeowner churn has trended in the right direction in the second quarter. Our data continues to indicate that the higher level of churn is primarily due to concerns about levels of homeowner income as the industry comes off two record years. We are making significant efforts to educate our homeowners about the state of the industry, including sharing market level data to underscore that these trends aren't specific to Vacasa, and those communications have been positively received by homeowners. On the technology front, we completely changed our process of product development. Rather than shipping a few significant products each year, we are shortening development cycles and pushing to release smaller enhancements more often. As a result, we are getting more and better product tools and updates in front of homeowners, guests and colleagues faster. These advancements are improving experiences and having a positive meaningful impact on our business. For example, earlier, I mentioned that we are making it easier for homeowners and guests to communicate with Vacasa over SMS, if they prefer. In the first half of the year, we launched a click-to-SMS feature, giving guests the option to transfer to SMS rather than waiting on hold to speak to an agent. Guests have resoundingly opted for this feature with SMS inbounds now exceeding phone inbounds. These changes create a better experience for our guests, allowing them to more easily communicate with Vacasa and get answers to their questions faster while improving the efficiency of our customer service representatives. The team is also exploring how new artificial intelligence tools can be used in our workflow. For example, we are now using a tool to analyze listing photos of the homes we manage to ensure homes are tagged with all the relevant amenities. To-date, we have analyzed more than 2.5 million listing images to expand on attributes like pools, kitchens, patios and more as well as provide us with image quality scores. The goal is for these insights to help improve the guest booking experience by serving up the most relevant homes for any query or filter and drive reservation conversion. Finally, we continue to prioritize our business needs to drive profitable growth. We are carefully managing our operating expenses with technology and development, sales and marketing and general and administrative expenses down year-over-year. We are finding our focus on operating discipline and product development is starting to deliver results for Vacasa and is driving a better experience for homeowners and guests. Even though we have a lot more to do, I've seen this dynamic play out many times in my career, and I'm excited about the path ahead. Before I turn it over to Bruce, I'd just like to say thank you to our thousands of dedicated employees who are working so hard this summer peak season and throughout the year to bring vacations home for our homeowners and guests. Bruce?
Bruce Schuman: Thanks, Rob. First, I'll review our second quarter financial results then I'll provide an updated outlook for 2023. Unless noted otherwise, I will be comparing our second quarter results to the second quarter of 2022 and I'll be referencing the operating expense lines excluding the impact of stock-based compensation, restructuring costs and business combination costs, which you can find outlined in our shareholder letter. For the second quarter, gross booking value, which is the combination of nights sold and gross booking value per nights sold, reached $622 million, down 8% year-over-year. Nights sold were $1.7 million in the second quarter, up 3% year-over-year. However, gross booking value per nights sold was $368 in the second quarter, down 10% year-over-year. Over the past few quarters, we've talked about the decline in average gross booking value per home as the industry normalizes off of the record highs from the past few years. This dynamic continued in the second quarter with a 10% year-over-year decline in gross booking value per nights sold, while average nights sold per home on our platform was roughly flat year-over-year. Remember also there is a strong relationship between nights sold and gross booking value per night sold and it's difficult to look at either in isolation. Our revenue management algorithms and team are constantly evaluating the trade-off between price and occupancy and the mix of nights sold and gross booking value per nights sold with the goal of optimizing homeowner income. Revenue, which consists primarily of our commission on the rents we generate for homeowners, the fees we collect from guests and revenue from home care solutions provided directly to our homeowners was $305 million in the second quarter, down 2% year-over-year. Now turning to our expenses. Cost of revenue was 47% of revenue in the second quarter versus 49% of revenue in the same period last year. Operations and support expense was 20% of revenue in the second quarter versus 19% of revenue in the same period last year. These two expense lines primarily consist of our local market and customer support costs. As Rob alluded to, we continue to make improvements in the way we manage our local market operations. We are also demonstrating operating discipline in our central operations where we achieved year-over-year leverage across our three other operating expense lines in the second quarter. Specifically, on a year-over-year basis, technology and development expense was flat, sales and marketing expense declined 9% and general and administrative expenses declined 47% though there were some nonrecurring expenses last year. Adjusted EBITDA was $16 million for the second quarter compared to a $2 million loss in the same period last year. The $19 million year-over-year improvement despite a 3% increase in nights sold and a 2% decrease in revenue demonstrates the progress all of our teams are making in operating the business with increased discipline. Now turning to the outlook. As we indicated in March, we are not issuing explicit quarterly guidance, given we are still adjusting to the changing booking patterns as the industry comes off of two record years. While the business is operating with more discipline and making our costs more predictable, we are continuing to experience variability in booking patterns, especially on the close-end part of the booking curve. That said, given we are well into peak, we believe that we will land at the higher end of our initial full year 2023 revenue growth guidance range and now expects 2023 revenue to decline by a high single-digit percentage year-over-year. For full year adjusted EBITDA, you can see we are making progress and operating more efficiently and we believe we will achieve slight adjusted EBITDA profitability in 2023. With that Rob and I will take your questions. Operator, please open up the lines.
Operator: Thank you, Mr. Schuman [Operator Instructions] We'll take our first question today from Doug Anmuth at JPMorgan.
Dae Lee: This is Dae on for Doug. Thanks for taking the questions. I have two. The first one is around overall macro. You did talk about market dynamics in your letter in your prepared remarks about demand returning to urban, international, uptick in hybrid and in-office work, et cetera. So based on what you guys see, how far along do you think the industry is in facing these shifts. Have you seen the peak of the shift already? Or is that still to come? And related to that, when we anticipate you'll start lapping the worst of the headwinds, meaning when should your top line start accelerating again?
Rob Greyber: Thanks, Doug. I appreciate the question. On the first piece, with respect to the macro environment and booking patterns and so forth, I think that by and large, what we've seen play out over the last 12 months or so, plus or minus, has been a really kind of a return to what is a normal sort of booking pattern off of, on some level, off of the peak highs that you saw over the past several years in terms of pricing. In terms of the patterns that you see, I think there's some snapback to international and so forth. There's going to be a little bit of sloshing around in the global travel bucket as things -- as consumers get used to new flexibility, new availability to travel, to destinations that might have been closed during COVID and so forth. And I think that there's probably still some more to come in terms of different trends geographically, for example, in the North American market. I think the East Coast is much more back to the office and in some of those normal rhythms, and the West Coast, I think there's probably still a little bit more to go. As it touches our business, I mean, for the most part, we see some of those dynamics, but we see it largely play out as you see it playing out now in terms of what we're seeing on occupancy and overall pricing environment in our business. And I just didn't catch the second -- I think that was the first question. I didn't catch the second one, though.
Dae Lee: The second one was related to that. So when do you anticipate you'll start lapping the worst of these changes meaning like when should your business or top line start accelerating again?
Rob Greyber: Yes. I think in terms of that, when we're looking at this kind of environment, I kind of view it from the lens of kind of normal economic changes in what I've seen in the travel industry. And for the most part, I think what we're seeing is a typical sort of reversion to the mean, if you will, and it feels like a pretty normal cyclical motion in the industry. And none of us have a crystal ball, I left mine at home today. But for the most part, this is what you see. And we feel comfortable that we can navigate it on behalf of our owners and on behalf of our business.
Dae Lee: Understood. Thank you.
Rob Greyber: Thank you.
Operator: And we'll take our next question from Nick Jones of JMP Securities.
Nicholas Jones: Great. Thanks for taking the questions. GBV per nights sold down 10% year-over-year. How should we be thinking about that for the back half? It seems like maybe typical seasonality here might break down a little bit as we kind of normalize this year? And then maybe a question as it relates to GBV per nights sold. Do these GBV per nights sold trends kind of inform on churn levels? And I guess if so are the kind of technology and sales efforts helping kind of offset maybe less returns that homeowners are seeing as a result of these lower GBV per nights sold?
Rob Greyber: Why don't I ask Bruce to take that first one and I'll jump in.
Bruce Schuman: Yes. Thanks, Nick, for the question. I would say on the mix of nights sold versus gross booking value per nights sold, our revenue management team is really always looking at this. They have proprietary systems. They're looking at industry data, they're looking at daily bookings intakes and conducting AB test to really determine the optimal mix of pricing and sell-through really to maximize income for homeowners. So Nick, right now, the revenue management team, they've determined that lowering price, maintaining those sell-through rates, that really is the optimal approach for us. And when you look at other travel environments, that's not surprising, it's typically what happens. So you can kind of see this play out in our second quarter results, where nights sold is roughly in line with home growth, while price or gross booking value per nights sold, that was down, as you know, 10% year-over-year. So to answer your question, through the first half, you've seen that kind of play out, gross booking value per nights sold declined with smaller changes in nights sold. But for the back half of the year, the strategy and kind of the resulting effect on the mix of nights sold and gross booking value, that's really going to depend on the demand environment and what we believe is our optimal response to it. And then on the second part of the question, do you want to take the churn one, Rob?
Rob Greyber: Yes, absolutely. I think that, first of all, let's just take a step back. With respect to the dynamics with owners, we began to observe as we've shared before, just some elevated levels of churn in the fourth quarter, and that's continued through the first part of the year. That coincided, and we dig into this as much as we possibly can, that certainly coincided with some of the changes in the economic and the demand environment that we've cited before. And we certainly see owners when they look to make a change, citing homeowner revenue is one of those key reasons that's causing frustration for them. And I think to some extent, that's just coming off of these highs that we've seen. At the same time, we are focused on the things that we can control. And so we have really leaned into this. We've done a number of things on the communications side, really trying to do a better job of explaining what we are seeing across the industry, what's going on in the industry, what their individual markets are seeing, how that translates into the expectations that they should have for 2023. But we've also been, I'd say, equally leaning in on the revenue management side. So despite what we see on GBV per nights sold, we are really focused on making sure we are doing the best job that we possibly can for our owners and we think the data shows that. It's pretty clear that when you look at industry data, we're delivering well on our ability to drive revenue for our owners when we compare ourselves to the market at large. So we want to get back to an environment that is going to be growing like the last several years, but I think there's going to be just a long-term cycle. But most importantly for us is to deliver for our owners and to make sure that we're managing those expectations and then delivering on them. We're exceeding them wherever we possibly can. Again, I would just say that in terms of the dynamic in general, what we expect to play out is this is an industry-wide phenomenon. So to the extent that there is some of this frustration, we think it's across the industry. You think you see that as evidenced with some of what's kind of shown up on social media and in the press. But again, we're laser focused on the things that we can control, and we're acting on those things, and we think that the data is showing that we're delivering for our owners, and that's the most important thing.
Nicholas Jones: Great. Thank you both.
Rob Greyber: Thank you.
Operator: And we'll go next now to Jed Kelly at Oppenheimer.
Jed Kelly: Hey, great. Thanks for taking my question. Just looking at the EBITDA improvement relative to lower revenue, you're really making a lot of nice efficiency gains. Can you talk about -- I know you touched on it in your opening remarks, but sort of touch on some of the underlying drivers there. And then, Rob, can you just give us an update on your salesforce productivity about the supply ramp and where we are there? Thank you.
Bruce Schuman: Yes. Sounds good, Jed. So I'll take the first part, and then I'll let Rob on the second part. So for us, Jed, Q2, this is really a story about operating basics and really the discipline to drive them. It's just kind of boiled down to just improved execution for us throughout the entire second quarter. I think a couple of examples I would point to. I think we did a much better job this quarter in just operating discipline in the field, our field teams managing resources much more tightly to kind of variable booking patterns and just doing a better job in execution there. I think we've worked hard secondly to maintain -- we talked about the workforce reduction in January, just maintaining discipline there. So we see that operating leverage continue to flow through. And then I think, thirdly, our revenue management team is just really watching this carefully. I think as they watch the emerging trends, they're doing a good job on executing just to drive bookings at a very tactical level as they navigate what we all know is a very dynamic environment. So it's really an execution story. There will be some steps forward, steps back, like we've talked about, but we're just focused on keeping that progress going across the business.
Rob Greyber: Yes, Jed, the second part of the question with respect to the performance on sales. Yes, that -- as I think about that, Jed, I really think about that in the context of what we're doing overall here. So first, we have been working to get the unit economics right, as Bruce just described. We're working on then really focusing on our ability to have a growth motion that is repeatable, that is dependable, that is process driven and so forth, and then improving the product cadence. You're asking about that kind of second part of the formula, if you will. And there, look, the sales team had a nice second quarter. We had solid per rep productivity. We were pleased to see that. We're encouraged by the progress that we've seen over the last couple of months, the last several months, and we think it's a step to right, in the right direction. We're focused on making these things continued and kind of a normal part of what we do. So what's driving that progress? I think it's a focus on the execution elements of the go-to-market motions of the business. So finding the right size for the sales force, better aligning those teams from a geographic perspective, simplifying key aspects of how they work, and that ranges from the organizational structure, to the number of incentive plans that we manage, to simplify the pricing that we offer to our homeowners, to investing in tools and processes for onboarding new homeowners onto our platform. So when I look at it, I see a great team that is digging in. We have a lot more work that we can get done. It's encouraging to see some initial progress along that path. And looking ahead, the focus for the rest of the year remains on maintaining these productivity gains, continue to invest on the process side, continuing to invest in some of the standard operating procedures and the growth motions. And then as we get into the back half of the year or next year, that's when we'll start to potentially explore increasing the size of the salesforce.
Jed Kelly: And then just given the RevPAR headwinds the industry is facing, I'm sure some of the owners that are doing it themselves are facing similar headwinds. So are you seeing now more inbound from owners that probably had a good '21 are struggling and well, back half of '22 into '23. Are you seeing more inbound from some of these owners that thought they -- thought it was easy in '21, but now are realizing this is pretty hard?
Rob Greyber: Yes, Jed. Look, it's a great question. We haven't shared anything on kind of rates of inbound inquiries and so forth. But if you hear from anybody, please have them give me a call. More seriously, we absolutely do expect a dynamic where there is going to be a real need for owners to be able to have a partner that can navigate these dynamics with us. We think we are very focused on doing that job better and better and better every month. And I'm very proud of the work that the team has done so far this year. It's been a tricky year, a dynamic year. And I think that we've made good progress there and we'll certainly be talking about that with owners when we engage with them.
Jed Kelly: Thank you.
Operator: And gentlemen, it appears we have no further questions this afternoon. Mr. Greyber, I'd like to turn things back to you for any closing comments.
Rob Greyber: Operator, thank you very much. Thanks, everyone, for joining, really appreciate the questions. I just wanted to say thank you again to all of our teams working so hard in the field this summer peak season, and also thank you to all of our owners for your partnership and for all of the work we've done together. Thanks very much. We'll talk to you again next quarter.
Operator: Thank you, Mr. Greyber. Again, ladies and gentlemen, that will conclude the Vacasa Second Quarter 2023 Earnings Call. We'd like to thank you all so much for joining us and wish you all a great remainder of your day. Goodbye.